Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Ladies and gentlemen thank you for standing by and welcome to the SEI First Quarter 2022 Earnings Call. At this time, all lines are in a listen-only mode. Later, we will have a question-and-answer session. [Operator Instructions] As a reminder, today’s conference is being recorded. 00:29 I’d now like to turn the conference over to Chairman and CEO, Al West. Please go ahead.
Al West: 00:35 Welcome, everyone. On our call today, we have Al Chiaradonna, Phil McCabe, Wayne Withrow, Paul Klauder, Kathy Heilig, our Controller; and Dennis McGonigle, our CFO. Also joining us is Ryan Hicke, who I will be transitioning to the role of CEO on June 1. 00:59 Now today, I’ll start by recapping first quarter 2022. I’ll then turn it over to Dennis and our LSV and the investment and new business segment. And after that each business segment leader will comment on the results of their segments. As usual, we will field questions at the end of each report. So, let’s turn our attention to the financial results for the first quarter of 2022. 01:31 First quarter revenues grew 28% from a year ago. Our first quarter earnings grew by 47% from a year ago. First quarter EPS of $1.36 grew 53% from the $0.89 reported in the first quarter 2021. And during the quarter, asset balances decreased by 9.4 billion, while LSV’s balances decreased by 3.0 balances. 02:09 In the quarter, we repurchased 1.7 million shares of SEI stock at a price of $58.42 per share. That translates into $101.1 million of stock repurchases. We had a successful sales quarter with net events totaling $28.7 million. $27 million, I'm sorry, $28.7 million. $27 million of which is net recurring. Each of our segments will cover the details. 02:51 The big news this quarter is that we have selected a new CEO. He is Ryan Hicke. Ryan is no stranger to SEI nor to you. He has worked at SEI for 24 years in a variety of leading positions and asset management, processing, and technology. In addition, Ryan brings a global perspective to his career having more [indiscernible] years at SEI outside of the United States. And recently, we provided leadership to a fast growing start-up. And finally, what's really important is that he lives and breathes our culture, providing the role model for all. 03:37 And now I'd like to turn it over to Al to say hello. Al? [Indiscernible]
Ryan Hicke: 03:51 Thanks, Al. Good afternoon, everyone. I appreciated the opportunity to speak to so many of you over the last couple of weeks. I thought I would take a brief minute to share some of the things I am focused on presently. While we are in a very strong position strategically and financially, we need to continue to make changes to truly capitalize on our opportunities in the future. 04:11 As the year evolves, you will see a continued focus on maintaining and accelerating growth in existing businesses, including margin expansion in private banking and segment expansion and other units, rapidly expanding our focus on new growth engines, including SEI Sphere and other relevant M&A activity and reinvigorated our culture and talent strategy, with an emphasis on infusing new skills, perspectives, thinking, including diversity all across the company. 04:42 I truly look forward to spending more time with all of you, and I'm excited to continue to work closely alongside Al and the team to hit the ground running in June. 04:50 I will now turn it over to Dennis, but I look forward to any questions today or in the coming weeks. Thank you.
Dennis McGonigle: 04:57 Thanks, Ryan. Good afternoon, everyone. I'll cover the first quarter results for the investments in new business segment and discuss the results of LSV Asset Management. I'll also go over a couple of corporate items. 05:09 During the first quarter of 2022, the investments in new business segment activities consisted of the operation of our Private Wealth Management Group, SEI Sphere, the modernization of assets and data integration of different platforms to deliver on our one SEI strategy and other investments. 05:28 During the quarter, the investments in new business segment occurred a loss of $7 million which compared to a loss of $9.5 million during the first quarter of 2021. Approximately 4.1 million of expense during the first quarter 2022 is tied to our one SEI effort. 05:48 Regarding LSV, our approximate 38.6% ownership contributed 32.5 million in income to SEI for the first quarter of 2022. This compares to a contribution of 33.4 million in income for the first quarter of 2021. 06:07 Assets during the quarter decreased approximately $3 billion. LSV experienced net negative cash flow during the quarter of approximately 1.7 billion with market depreciation of approximately 1.3 billion. Revenue for LSV was approximately 108.5 million for the quarter with 1.3 million of performance fees. 06:32 As Al mentioned in prior disclosure, we received an $88 million contract termination fee during the quarter. This fee was recorded as revenue in our private banking segment and had the net impact of increasing our EPS by approximately $0.47 per share. 06:54 As we have previously discussed and consistent with others in the industry, we continue to experience inflationary pressures on personnel costs. In addition, we continue to add talent to support our growth. This has had an impact on expenses across the company, particularly in our operational groups. 07:13 We expect this pressure to be with us for the foreseeable future. Also, our expenses reflect a full quarter of costs associated with our recent acquisitions including Novus. 07:26 Our effective tax rate for the quarter was 23.1%. We have also included in our earnings release additional information that you should take a look at. Please refer to our soon to be filed 10-Q for more information. I'll now be happy to take any questions.
Operator: 07:46 [Operator Instructions] Our first question will come from the line of Ryan Bailey with Goldman Sachs. Please go ahead. Your line is open.
Ryan Bailey: 08:03 Hi, good afternoon, everyone. I had a question for Ryan. I was wondering what are the key strategic priorities that you have going forward? And maybe what are the areas of the business that you spent the most time evaluating and thinking about?
Ryan Hicke: 08:17 Hey, Ryan, how are you? I mean, I think pretty much exactly what I reiterated. We talked last week, but also in the call few minutes ago, when we look, the strategic priorities are really to continue to have a clear focus on accelerating growth in our organic businesses, and looking at ways that we can kind of reposition and maybe redeploy some opportunities or capital there, but also what we do that, I think everybody in the room shares the view that we have a great opportunity to really start to focus on new business opportunities and new initiatives. 8:50 And I think equally important, as I mentioned a couple minutes ago, with workforce coming back, all the changes we have a really, really great opportunity to kind of refresh and reinvigorate what we believe is an advantage we have with such a talent of workforce. So, they're kind of the real – the key three areas that we're going to continue to drive down and as time [falls down] [ph], I will provide much more transparency around what we're going to do, but we'll continue working with the team to formalize those plans.
Ryan Bailey: 09:17 Got it. And hopefully I'm not trying to preview too much around this, but you had mentioned in your prepared remarks looking to expand the margin in the Private Banking segment. I was just wondering is that a change in view around how that business is operated or is that, sort of the same view as previously that you get the backlog implemented and that will come with helping incremental margins?
Ryan Hicke: 09:42 Yes, Al C is going to go through that in his remarks, Ryan, but I mean, I think you're right, we're going to continue to focus on what we’ve spoken about in the past and certain cases we'll look to accelerate opportunities we have to expand margin.
Ryan Bailey: 09:55 Got it. Thank you.
Ryan Hicke: 09:57 You're welcome.
Operator: 10:00 Our next question will come from the line of Owen Lau with Oppenheimer. Please go ahead.
Owen Lau: 10:05 Good afternoon and thank you for taking my questions. Also, Ryan, could you please talk about how you want to maybe position SEIC to navigate through the current geopolitical tensions and rising environment and maybe anything you would do differently based on what you said in the prepared remarks? Thank you.
Ryan Hicke: 10:26 I'm sorry, Owen, good to speak to you. I'd missed the middle of that navigate the geopolitical tension?
Owen Lau: 10:33 Yeah. Navigate through the current geopolitical tensions and also rising rate [environment] [ph], anything you would do differently just like what is mentioned in the prepared remarks?
Ryan Hicke: 10:46 We're not really that impacted specifically in our day to day business by speaking kind of specifically about kind of Russia-Ukraine. So, for us right now, Owen, it’s kind of business as usual. We will obviously stay acutely aware any influencers or impacts, anything that happen would have on our employees or our business [indiscernible] on that front.
Owen Lau: 11:10 Got it. And then maybe one for Dennis on the LSV, I think on the press release, you also mentioned that earnings were down year-over-year due to negative cash flows from existing clients and also client losses, maybe could you please provide a little bit more color and update on LSV? Thank you.
Dennis McGonigle: 11:33 Sure. So, it's kind to me a tale of coming out of the tougher markets for them as a value oriented firm and moving forward, being able to take advantage of the fact that they've kind of stuck to their [indiscernible] their performance on a relative basis has been very good and strong. And somewhat reflected by the $1.3 million performance fee in the first quarter. 12:01 Last year, that number was about 0.3 million. So, first quarter is usually not a quarter of performance fees for LSV generally as a firm. So, the performance has gotten better while their cash flows are negative, it's hard [indiscernible] but they've actually gotten, they've improved as value has gotten to the attention of investors. And one thing in talking to LSV there's a lot more search activity in the value space that they're optimistic about relative to prospects for the year to capture new asset flows.
Owen Lau: 12:45 Got it. Thank you very much.
Dennis McGonigle: 12:47 You're welcome.
Operator: 12:51 Our next question will come from the line of Ryan Kenny with Morgan Stanley. Please go ahead.
Ryan Kenny: 12:58 Hey, good afternoon.
Dennis McGonigle: 13:00 Hey, Ryan.
Ryan Kenny: 13:03 First, a question for Ryan. Understand the announcement is fairly recent. So, I don't think anyone's expecting a detail comprehensive outline of the strategy yet, but just as a follow-up to the first question, I just wanted to dig in a little bit about the big picture on your approach to operating leverage. How do you think about balancing the need to invest to grow versus being a CEO more focused on expense management? Thanks.
Ryan Hicke: 13:30 Sure. I think it's kind of couple of parts, Ryan. I mean, as we've said in the beginning, I mean SEI is in a really fortunate and privileged position to be as financially strong as we are. And I think we're going to continue to look at how do we allocate that capital and that will include investments that we're making today to look at ways maybe in the short term that we may redirect or re-deploy some discretionary investments that we think best aligned with revenue opportunities, but also to continue to invest in new opportunities that we either started in the last couple of years or things that we see on the horizon to position ourselves for future growth.
Ryan Kenny: 14:08 Thanks. And then just a follow-up question for Dennis. So, SEI had the $88 million termination fee as a revenue tailwind this quarter, is that something that you want to reinvest into the business or is it something that you think would be distributed to shareholders through accelerated buybacks?
Dennis McGonigle : 14:28 I mean, ultimately, that's a decision for our Board to make relative to capital allocation from a dividend perspective. But clearly just – it's a good problem to have to have a very strong balance sheet to have highly liquid balance sheet and one that gives our board as well as Ryan and Al optionality relative to investment opportunities or capital return. So, but that's something our board will talk about. 15:00 The logistics of the actual capital is – that piece of business was signed through one of our foreign subsidiaries. So, there's a little bit of a process to get that capital moved, which will actually worked on before ultimately our board here would address that issue.
Ryan Kenny: 15:22 Thanks.
Operator: 15:27 Our next question comes from the line of Robert Lee with KBW. Please go ahead.
Robert Lee: 15:33 Great. Good afternoon everyone. Thanks for taking my question. I guess my main question, most of my others were asked already, but Dennis, was curious to know the investments in new business, you called out that I think the ongoing cost from the One SEI initiative was 4 million, can you just remind us or update and kind of how we should think, is that kind of at a level where it's more of the permanent fixture around that 4 million or should we think of that continuing to kind of maybe trail off as we work our way through the year into next year?
Dennis McGonigle: 16:11 Yes. I would suspect that cost specific to that project will trail down as we move forward, but just a reminder, the investments in new business segment is an investment segment. So, while it may trail down relative to One SEI, some of the technological investments we're making associated with One SEI. 16:42 Based on, particularly with Ryan, building on Ryan’s comments, there are other things and other ideas we have that we would probably reallocate some of that spending too. So, I wouldn't look at it as a big opportunity for pickup on expense as much as continuing our ability to add to our asset base. 17:04 So, there's things in that segment. For example, we are investing in cloud, and that's part of that segment. We are investing in the data space working with Snowflake. So the cost associated with that work is in that segment. So, these are additional R&D projects at the company level, enhancing our learning, enhancing our abilities that we think will benefit most of our businesses, if not all of our businesses over time.
Robert Lee: 17:40 Great. That’s all I had. Thank you.
Dennis McGonigle: 17:42 You're welcome.
Operator: 17:45 And the final question we have in queue at this time comes from the line of Michael Young with Truist Securities. Please go ahead.
Michael Young: 17:54 Hey, thank you for taking the questions. Al and Ryan, I understand you're not rolling out sort of any new thoughts or goals yet or anything like that, but just given kind of the long-term legacy of SEI. I'm curious, how much of sort of the legacy way of doing business is sort of on the table and what sort of magnitude potentially have changed should we expect going forward? Is this more of a wholesale review of the way things are done, can we expect balance sheet leverage to be an option M&A to become more aggressive? Any larger shifts and kind of strategic thinking or is this more of a marginal change? And it's just a question I'm getting from a lot of investors.
Al West: 18:47 I'd say – I feel that there should be a lot of change and I'll leave the rest of that to Ryan.
Ryan Hicke: 18:58 I agree with Al, Michael. I don't think it's a wholesale review of what we're doing. We have a lot of really strong assets and things that we do really well. But it's not going to be marginal change and we're going to continue to work through that. We have a tremendous opportunity ahead of us and we expect to take advantage of that opportunity. So, that's going to require change.
Michael Young: 19:22 Okay. And as a follow-up, just it's been mentioned a lot that you had international experience, now is kind of a reason why, you were selected for the role, could you just talk about kind of the conversation with the board there and what the opportunity set is ahead that you feel like made you uniquely qualified to take this position and kind of where the international piece is going to play in?
Ryan Hicke: 19:47 Yeah, I mean, Al mentioned that earlier. So, I think part of it is when you look at our international, kind of footprint and my time over there, a lot of it was really around starting new businesses, really trying to kind of put an imprint together with the other SEI folks on creating that culture and the environment that we're also proud of here. We’re really looking at ways that we could expand our growth opportunities in many cases leveraging things that we had in the U.S. or actually some of the businesses that we started there bring some of those capabilities back here. 20:18 So, I think it was a combination, Michael, it would just be exposure to the global markets being so different than the domestic market, but a lot of that experience between [2001] [ph] and 2012 was really around starting and growing new businesses and that's something we highly value here, especially when you can do that alongside the right culture.
Michael Young: 20:40 Okay. Thanks very much.
Ryan Hicke: 20:41 Thank you.
Operator: 20:45 And we have no further questions in queue at this time.
Dennis McGonigle: 20:50 We would like to remind you that during today's presentation and in our response to your questions, we have and we'll make certain forward-looking statements that are subject to risks. Uncertainties that may cause actual results to differ materially. Please refer to our notices regarding forward-looking statements that appear in today's earnings release and in our filings with the SEC. We do not undertake to update any of our forward-looking statements. Now, I'd like to turn it over to the other Al. Al Chiaradonna?
Al Chiaradonna: 21:19 Alright. Thanks Dennis. Good afternoon, everyone. First quarter, 2022 revenues totaled $213.5 million, which was up $95.9 million as compared to revenues from the first quarter of 2021. First quarter 2022 quarterly profit of $91.6 million was up $84.7 million from the first quarter of 2021. As Dennis mentioned, revenues and profits benefited from the one-time cancellation fee of 88 million, which net is 86 million in profit. 21:58 In turning to sales activity during the quarter, we closed approximately 8.4 million of net investment processing events, excluding the termination of HSBC. 7.1 million related to recurring revenues and 1.3 million related to one-time revenues. 22:16 During the quarter, we signed two clients of note. We signed an SWP agreement with Grove Bank & Trust, headquartered in Miami, Florida currently running on a competitor solution, Grove Bank’s selection of SWP represents the platforms continued success in the community bank space. 22:34 As I mentioned during the last quarter call, we've been working with HSBC to address their changing needs with respect to the business that was contracted in 2020. Last month, we filed an 8-K disclosing that HSBC Private Bank terminated one of its agreements with our UK subsidiary for convenience. We also discussed on that fourth quarter call, the sale of new business and alternative processing space with HSBC. This quarter, we will also sign an agreement with HSBC to move its U.S. Investment processing book of business to the SEI Wealth Platform. 23:13 Our evolving relationship with HSBC demonstrates our ability to help our most complex and large clients, respond to ever changing market environments that impact our strategic goals. The change in environment for our most complex clients creates opportunity and adjustments in our relationships. 23:33 And turning to implementation activity. In the first quarter, we successfully installed two new clients from competitor platforms to SWP and installed one additional new client to our TRUST 3000 platform. 23:47 Tompkins Financial Advisors, the wealth management firm of Tompkins Financial Corporation has successfully converted its wealth management business with SWP from a competitor platform. Central Pacific Bank headquartered in Hawaii and a primary subsidiary of Central Pacific Financial Court, also migrated their wealth management business to SWP from a competitor platform. 24:10 We're also pleased to announce that Central Pacific is further expanding the relationship with SEI by adopting SEI’s asset management distribution products to help outgrow their business and serve their clients. 24:23 Also, during the quarter, we successfully migrated Principal Financial Group's institutional, retirement, and trust business to our TRUST 3000 platform. We look forward to continuing to work with principal and grow our relationships as partners in the industry. 24:38 As an update on our backlog, our total [sign] [ph], but not installed global backlog is approximately $54.4 million in net new recurring investment processing revenue, including the signings and implementations I just mentioned, and the netting of the canceled agreement. We continue to work with our clients with longer tail type timelines as their business needs change and opportunities present themselves. 25:06 From an asset management standpoint, total assets under management ended the period at $25.3 billion, which was flat to the first quarter of 2021. Our cash flow for the first quarter of 2022 was approximately a positive 362 million. As we go through 2022, we remain committed to our strategy of building a global pipeline and associated backlog, matriculating that backlog, gradually improving our operating profits and prudently investing in the businesses to create sustainable growth. 25:41 We have a talented team across SEI as that is focused on these goals. We remain excited and optimistic. 25:48 That concludes my prepared remarks, and I will now turn it over to any questions you may have.
Operator: 25:41 [Operator Instructions] Our first will come from the line of Ryan Kenny with Morgan Stanley. Please go ahead.
Ryan Kenny: 26:09 Hi, good afternoon.
Al Chiaradonna: 26:11 Good afternoon, Ryan.
Ryan Kenny: 26:13 So, I know a few years ago, SEI was talking a lot about investing to bring on more global wealth players and understand you're still working with HSBC on several services, but it does seem like a lot of the new wins that are announced are more in the domestic mid-sized super regional camp. So, I guess the question is, do you need to invest more to attract more global players or do you think that there's any strategic shift to focus more on the mid-size or super regional institutions that at least from the outside view seems to be more of your sweet spot.
Al Chiaradonna: 26:45 Ryan, great question. I'll take it in two parts. So, I think we continue to have some success on the global side. So, in the fourth quarter of 2021, we talked about [indiscernible] and a piece of that alternative platform for HSBC. So, we saw some wins there, but I also discussed in a comment on that call, how we were reinvesting in some sales talent. We established a sales culture there. And I think that's going to be a big ingredient to our success globally. 27:15 And then I think, when you think about our global expansion, it's really been limited on the investment processing side to outside the U.S. anyway to being in the UK and that's really related to the complexities of managing tax, regulatory, and different strategies. So, we're kind of delivering. I don't think we'll be dialing that back. The investment in personnel right now is to try to see as Ryan mentioned, can we continue to expand our organic growth in this IP by looking at that global environment? 27:47 And then, the other part, Ryan, the other part of your question, I'm so sorry. You are correct. We are having some good success in the regional and community bank space over the last two quarters, and that probably represents most mature solution and the one we can sell the quickest and install the fastest. So, I think that's a fair observation.
Ryan Kenny: 28:08 Thanks.
Al Chiaradonna: 28:09 Yes. Of course.
Ryan Kenny: 28:10 And then just one follow-up on the lost HSBC contract, are there any expense offset to revenue loss there?
Al Chiaradonna: 28:22 As Dennis mentioned, the 88, the impact of the 88 was 86. So there was about 2 million of that. Beyond that, the other stuff that we invested we would be leveraging. So, there's really no other expense left out of that.
Ryan Kenny: 28:37 Okay, got it. Thank you.
Al Chiaradonna: 28:39 Sure. My pleasure.
Operator: 28:43 Next question will come from the line of Owen Lau with Oppenheimer. Please go ahead.
Owen Lau: 28:48 Thank you. So, it looks like the margin has come down a little bit if you exclude the termination fee, is there any, kind of like one-time expense, I think you just mentioned $2 million, but what drove that margin decline? And if you can also remind me, sorry, I may have missed that. The revenue and cost impact from HSBC Private Banking going forward, how should we think about that? Thanks.
Al Chiaradonna: 29:15 Yes. So, Owen thanks for the question. I think your first question was related to the slight margin deterioration in the quarter. If you net out the cancellation fee from HSBC and the two things that really drove that quite candidly, one was capital markets. So, we saw capital market pressure on the asset side of our business. And then secondly, as we discussed in the press release and I think Dennis just mentioned the competitive labor market and the pressures of that have caused us to make some investments in our talent to retain that talent. And you're seeing that impact our margins. 29:55 And then your second question, I think was related to the 88 million, the net impact of that 88 million is the 86 million and there's really nothing else inside that related to that cancellation. Of course, as we install the other HSBC business, we'll begin to invest in implementing that which we already have, which is in those numbers in the first quarter and then as they implement we'll begin to recognize that revenue over 12 to 18 months. So there's really nothing else related to what has been canceled.
Owen Lau: 30:29 Got it. And then the follow-up it's related to the previous question, how do you think about like large scale M&A outside of U.S. and UK in order to expand globally? Are you, like is this option off the table or you would still consider that thanks?
Dennis McGonigle: 30:52 Owen, this is Dennis. I think, large scale M&A or just M&A in general is kind of driven corporately and while one of the lenses we look through is how M&A can help enhance our growth opportunities and our strategic positioning in our existing businesses and certainly geographic expansion, were acceleration of geographic expansion through M&A, which would benefit any of our businesses not just private banking, we would take a hard look at and be interested in considering. 31:29 So, it's really not a specific question for private banking as much as it is a strategic initiative of SEI, the company around one of our rationale for M&A.
Owen Lau: 31:46 Got it. Thank very much.
Dennis McGonigle: 31:48 Sure.
Operator: 31:50 Our next question will come from the line of Robert Lee with KBW. Please go ahead.
Robert Lee: 31:57 Thank you. Good afternoon. I appreciate taking my questions. A question on the backlog. So, I think it was 54.5 million backlog in recurring. Can you maybe parse that down for us? I mean, since I'm assuming that there’s fairly significant chunk of that. It's still Wells Fargo, which seems to be kind of open ended in terms of when may or may not begin converting. So what should we reasonably expect over the next two years of that backlog and where you sit today to convert or begin converting?
Al Chiaradonna: 32:35 Robert, thanks for the question. The 54 and change in backlog, if we think about where that stands today over the next 12 months, about 25% of that would be converting. And then over the 13 to 24 month period, we should feel the remainder of that converting. Your comment on Wells Fargo, yes, Wells Fargo was still in that backlog. And the biggest challenge with the backlog overall is large jumbo clients. They just take time. 33:11 They have M&A. They’ve restructured. They have leadership changes and we continue to work with them in that as we implement those clients.
Robert Lee: 33:21 Yeah. And maybe along the lines of a follow-up, unless I kind of misunderstood, I think a couple of years ago one of the idea was while converting the community banks is great and smaller regions is great to really kind of scale the platform to, kind of needed to get more of the true SunTrust kind of more and more bigger and bigger banks which [indiscernible] seems is to take a long time. 33:52 So, I don't know, as you sit here today and you look at your pipeline, is there a reasonable expectation that you could see this acceleration of those kind of big chunky wins that would drive the scale on the platform or do you feel like the pattern you are in the kind of community and some of the mid-size or smaller regional bankers? Kind of, that's quantity that's kind of where we're going to reasonably expect for the next 18 months or two years.
Al Chiaradonna: 34:28 Robert, that's a good question. When I think about the pipeline, the pipeline is healthy, we have good activity in the market. I think outsourcing trends in the market are leaning our way, which are helpful to us. I do think you're right. A lot of our pipeline activity has been in terms of wins and installations has been regional community. We'll continue that because those are things that we know we're going to get off and get done. The jumbos, we are focused on those. 34:55 We are talking to them every day. They're active in the market. What I [can’t] [ph] do for you, Robert is predict when they'll actually close. Unfortunately these sales cycles, it's not really driven by SEI’s ability to close it. It's driven by the time it takes to negotiate it and then the time it takes to implement it. And those are just a little less predictable in your region and community, but in no way, are we shaping our pipeline strictly around regional and community. 35:21 We would more than continue to push forward on those Jumbos, and then as those Jumbos land, we'll discuss them, and it will come with the same caveat I mentioned on the last two calls, which is, it's just hard to predict how a multi-year implementation will land, not just because of what we're doing, but because the banks themselves have development and integration they're doing on their side.
Robert Lee: 35:43 Appreciate that. And can I ask you, maybe just, I know you're given us the funding of the backlog of 25% over the next 12 months, but I apologize in this kind of the second part of your comments with subsequent to the next 12 months?
Al Chiaradonna : 36:00 Yes. Robert, I think you had said, in your question, can you give me an idea of what it looks like over the next three years? What I did was I said on the 54, you could expect 25% of that to matriculate in 2022 and then you could expect the remainder of that to matriculate across 2023 and 2024, that's where those implementations fall today.
Robert Lee: 36:23 Okay. Great. Thank you for clarifying that.
Al Chiaradonna: 36:25 Yeah, of course, my pleasure.
Operator: 36:30 Our next question comes the line with Chris Donat with Piper Sandler. Please go ahead.
Chris Donat: 36:37 Hey, good afternoon Al. Thanks for taking my question. I just had one more about the backlog. Last quarter you quantified at 81.7 million, and so this quarter, I think 54.4 million, can we think of the difference as solely HSBC or do some of the other activities affected the backlog or I say solely, but mostly HSBC, is that the right way to think about the change quarter-on-quarter or the backlog?
Al Chiaradonna: 37:08 Chris, that's a great question. Thanks. I think I can help you and I can provide some clarity. So, yes, of course, HSBC is in it, but the truth of it is, it is also affected by the three installations I talked about that happened in the first quarter. So that would negatively affect the backlog it would drop down because we're matriculating that, but then it we would be – we would be really refilling that with the sales I just talked about in the first quarter. 37:36 So, while HSBC was a large number, there was still a significant amount of revenue matriculation and new revenue added back. And it's the combination of those events that give you that delta.
Chris Donat: 37:48 Okay, that's helpful. Thanks Al.
Al Chiaradonna: 37:51 Of course, my pleasure, Chris.
Operator: 37:55 And our next question will come from the line of Michael Young with Truist Securities. Please go ahead.
Michael Young: 38:02 Hey Al, thanks for taking the question. Just wanted to touch on, kind of with the pandemic subsiding, it sounds like people are coming back to work more and more, is that a tailwind to sales activity, should we expect sort of an uptick in the pipeline of building for new implementations all else equal or any other color there would be helpful?
Al Chiaradonna: 38:24 Yeah, Michael, good question. I think we've been kind of fortunate. One of the things were able to do during the pandemic is think about how to digitize our sales channel, and we had some deals that I know my predecessor talked about that we closed almost completely remotely. So, I don't think it slowed down our ability to reach clients, but it did slow down, I think decision making in some level because people were wondering where they stood and what they could do with the pandemic. 38:56 So, I think the bring back of people is not going to be an [accelerating] [ph] and a pipeline. These people have been working on that pipeline throughout the pandemic. We might begin to see people willing to make at the client level. The decisions is a little bit quicker, but I can't tell you that I'm certain of that. 39:12 As I think about implementations, I would give you the same answer. Our implementations as of March, the year of the pandemic we went digital immediately. So, we have done almost all of our implementations in a fully remote environment. Now, what has benefited us is as the pandemic is weighing and people have gotten back into the office, we are making more and more client visits and I just think as you make client visits, the level of your intimacy improves and as the level of your intimacy improves opportunity should manifest itself. But I don't think it's – I don't think it's going to change dramatically just because of people getting back to work.
Michael Young: 39:53 Okay, great. And then the last one, just maybe on pricing power, we're seeing see a lot of inflation. I think that was mentioned in terms of upward pressure on personnel costs, are you all able to get, sort of pricing power within the contracts to kind of offset that impact or should we expect a little bit of margin compression as a result of, kind of just core inflation pressure?
Al Chiaradonna: 40:14 I mean, I think as Dennis talked about in his, I think the labor markets are tight, so I think we will have some compression inside those numbers today. I don't think it will be dramatic. I do think we're able to, I don't know that I would call it in reaction to inflation. I think as we continue to advance our solution, we can sustain and improve our price points across it. 40:40 I think it's a little hard to say it in a general term across all deals, Michael, just because each deal has a negotiation attached to because it's a multi-year contract. But I think we'll be able to preserve and probably modify our price point positively. I don't think we'll have to succumb to any significant pressures there.
Michael Young: 41:02 Okay, great. Thanks. That’s all from me.
Al Chiaradonna: 41:04 Okay.
Operator: 41:07 And we have no further questions in queue.
Al Chiaradonna: 41:10 Okay. Thanks. I'll pass it off to my friend, Phil. Phil, it’s all yours.
Phil McCabe : 41:14 All right. Thanks, Al. Good afternoon, everyone. For the first quarter of 2022, revenues totaled $156.9 million, which was 15% higher as compared to our revenue in the first quarter of 2021. Profit for the first quarter of $58.1 million was 8.7% higher as compared to the first quarter of 2021. Our profits were strong, they were impacted by increased hiring and labor expenses in operations, offset by increased revenue. 41:45 Our margin of 37% for the segment is closer to our previously discussed margin expectations. Third party asset balances at the end of the first quarter of 2022 were $895.2 billion approximately $12.1 billion lower than the asset balances at the end of the fourth quarter of 2021. This increase is primarily due to market [depreciation] [ph] of $8.7 billion and net client funding of negative $3.4 billion. 42:14 In turning to market activity, during the first quarter of 2022, we had our highest sales quarter ever with net new business events totaling $17.8 million, which are expected to generate net annualized recurring revenues of $17.1 million. In addition, we re-contracted $7.5 million in recurring revenue. 42:37 Highlights of these events include, in our alternative market unit, we signed a number of new names ranging from start-ups, to large global managers, and our cross-sell strategy continues to resonate and robust sales to existing clients. SEI was also selected to provide fund administration for $2 multi-billion private equity firms. One was the self-administered firm and the other a takeaway from a competitor. 43:06 Our traditional market unit propelled our record sales quarter, highlighted by one of the largest collective trust conversions in the industry. This win will make SEI the leading provider of third party outsourcing services in the CIT industry based on collective trust assets. We also added business across all other product lines with new clients and expanded wallet share with many existing clients. 43:30 In Europe, we continue to expand our ETF, private equity, and private debt businesses, primarily through cross-sells with existing clients. At the end of the first quarter, our backlog of sold to unfunded new business stands at $37.7 million. 43:47 So, in summary, the business had another solid quarter with record sales, implementation of our backlog, and continued client delivery. We remain optimistic and excited about our strong growth prospects in our path forward. 44:02 That concludes my prepared remarks, and I now will turn it over for any questions you may have.
Operator: 44:09 [Operator Instructions] We have no one in queue at this time.
Phil McCabe : 44:24 All right. Thank you very much. I guess you talked yourself out with Al and Ryan. Thank you. 44:36 Okay. Next up, we have Wayne Withrow with the update on the Advisor Segment.
Wayne Withrow: 44:41 Thanks, Phil. In the first quarter of 2022, we continued execution of our roadmap targeted at building great futures for our clients. Some of the pillars of our strategies were on display in the first quarter highlighted by the following. Continued sales growth of curated external fee strategies offerings as the demand for investment personalization continues to grow. 45:10 The rollout of our new collaboration platform powered by the orange technology continues on schedule. And that sales process continued to evolve, and we also named a new executive to take over the range from a 34 year veteran. Numerical comparisons of our financial results to Q1 of 2021 are included in the press release. 45:37 [Color explaining] [ph] some of those comparisons include: First quarter revenues increased from Q1 2021, due to positive capital markets and positive net cash flow. These increases were partially offset by some shift into lower fee liquidity products and a small reduction in our basis point yield rate. 46:02 Expenses were up contributing to a decline in margins. Direct costs, including sub advisor fees, are reflected in this increase. Investments in our internal digital sales technology and in the integration of our client facing orange platform will also [factors] [ph]. 46:25 Like others at SEI, investments in our personnel due both to grow and the tight labor markets were a factor. During the quarter, we had $1.3 billion in positive net cash flow. Of this total nearly $1 billion was into our managed asset programs. 46:49 In Q1, we recruited 81 new advisors and reengaged 13 existing advisory firms. We have seen many of the reengaged advisors from last year continue as advice producing cash flow this year validating our decision to direct some of our sales focus to this activity. 47:12 Our pipeline of new and reengaged advisors remain active. As we continue into 2022, we will focus on our goal of building great futures for all our clients. To this end, focused areas will be: First, to continue to enhance the client facing components of our platform. 47:38 Second, the creation of an industry leading, multi-channel sales process, incorporating both digital and in-person components. Third, continued evolution of our investment offerings to enable mass personalization. And fourth, an enhanced focus on the pure RIA channel. 48:03 We continue to make good progress, and I believe we are well-positioned even with uncertain markets and global dynamics. 48:12 I now welcome any questions you may have.
Operator: 48:17 [Operator Instructions] Our first question will come from the line of Robert Lee with KBW. Please go ahead.
Robert Lee: 48:31 Thanks. Good afternoon, Wayne. How are you doing?
Wayne Withrow: 48:34 Good, Rob.
Robert Lee: 48:35 Good. Quick question on, I guess, expenses. So, I mean, the expense was pretty similar to the fourth quarter, but obviously up dramatically from where it had been kind of a year ago in the course of inflation and wage pressure and presumably it’s an increased travel and whatnot around we move past with steps of COVID, but is there anything – what else do we think is in that? And should we think is really kind of a new base level, kind of the mid-64 range to work from? I just want to make sure I'm not double-check, but maybe there's not some other things that could be more transitory right through the extent?
Wayne Withrow: 49:22 Can I ask you to – I'm having trouble hearing you.
Robert Lee: 49:28 Okay. I'll try – on the expense levels, I'm just trying to get a better view, is there anything that we should think of as being somewhat transitory maybe a new spending initiatives in the expense pace or is this 64 million that's been the last couple of quarters really kind of a fall-in ongoing or just trying to see if there is any reason I think the pace could moderate somewhat as you go forward?
Wayne Withrow: 49:55 Yes. I think the comments about expenses, I think the one item you need to keep in mind as we talk about a shift to some of our investment offerings. A major element here is when we sell internally managed mutual funds, a lot of the advisory fees are embedded in the revenue numbers, so the revenue number is net of the sub advisory expense as we go to more sub advised accounts whether it be by us or someone else. 50:23 The P&L of the accounting is such that this sub advisory expenses appear at a separate line item. So, revenue growth will be reflective. Will also contain expense growth because it's not – the revenue number is not net of those expenses. So, I think that's the biggest item I think we need to be aware of.
Robert Lee: 50:43 Fair enough. Also just curious, so also just curious, as the quarter progressed, things obviously got more volatile and more negative in a way. So, any color you have, if you think about your new business trends, kind of the pattern as you've got through the quarter that you started maybe besides some movement of cash starting to see it impact, new business actively as people kind of pulled back, are you seeing anything like that at all?
Wayne Withrow : 51:20 Yes. [Indiscernible] I think if the question is sale, I mean, I think our sales activity is strong. I mean, we had a very strong new [advisor quarter] [ph]. I also think if we had, when I look at the quarter, we had a very good quarter on sales to our existing advisors too. And in cash flow, I think that – is that with your question? I mean, I think we are, I think we're experiencing a lot of positive growth and I think that trend is going to continue. That's your question.
Robert Lee: 51:57 Yeah. I mean, I apologize that it's not coming through clearly on the cell phone, so my apologies. But I guess I was thinking really the pattern through the quarter, as the environment maybe got more challenging and more volatile as you got through March into April, you are kind of seeing the taste of activity moderate or [change a bit] [ph]?
Wayne Withrow: 52:22 Yes. I think that the, I think a lot of them, we look at sort the interest rate inflation and then the Ukrainian war shock, I mean, I think we saw that go through the market and that kind of impacted the flow. I think that's going to stabilize them. But it's hard for me to kind of predict what's going to happen.
Robert Lee: 52:44 Okay. Fair enough. Thanks so much. Apologize for the [indiscernible] question. Thank you.
Wayne Withrow: 52:50 No worries.
Operator: 52:53 And we have – we just had one queue up, that comes from the line of Michael Young with Truist Securities. Please go ahead.
Michael Young: 53:00 Hey, thanks for taking the question. Just wanted to ask, there's been a lot of news lately about potentially a competitor in the TAM space, you know potentially changing hands. I was just curious, maybe historically when you’ve seen that take place, kind of in the industry, is that a benefit to you guys and any way to kind of think through how that could impact your business segment specifically?
Wayne Withrow: 53:30 Well, it rather than can – to talk about it is a benefit or a detriment. I think that anytime this disruption, we like to call that money emotion. And we – it's kind of our job to look at any disruption and money emotion it's kind of an opportunity. So what will happen? I don't know. But our job is to kind of figure that out.
Michael Young: 53:53 Okay. Do you guys usually put together, I mean, do you special marketing or should we expect any kind of ramp, any efforts if something like that were to happen where there is money emotions so to speak?
Wayne Withrow: 54:09 To be honest, I'm not really comfortable talking about sales tactics before I do them.
Michael Young: 54:14 Okay. Alright, fair enough.
Wayne Withrow: 54:16 For obvious reasons.
Michael Young: 54:19 Understood.
Wayne Withrow: 54:24 You'll find out when everybody else does.
Operator: 54:31 And we have no further questions in queue at this time.
Wayne Withrow: 54:35 All right. Thank you very much. I will now turn it over to Paul.
Paul Klauder: 54:39 Thanks, Wayne. Good afternoon, everyone. I'm going to discuss the financial results for the first quarter of 2022. First quarter 2022 revenue of $86.8 million increased 3% compared to the first quarter of 2021. Operating profits for the first quarter 2022 were 41.5 million and decreased 9% compared to the first quarter of 2021. 55:03 Revenue increase was driven by full quarter of revenue contribution from Novus and Atlas offset by net client losses. Operating profit was negatively impacted by operating and amortization expenses from Novus and Atlas and higher compensation expenses. 55:20 Operating margin for the quarter was 48%. Quarter-end asset balances of 94.2 billion reflect a $5.1 billion decrease versus the first quarter of 2021. This was due to net client losses. OCIO net sales events for the first quarter were a negative 4 billion. Gross sales 800 million and client losses totaled 4.8 billion. First quarter new sales were diversified across U.S. endowment and foundations, UK fiduciary management and healthcare. 55:56 SEI Novus has three new sales in the quarter. The client losses for the quarter were predominantly due to unsuccessful client rebids, a DB termination, and a merger of a longstanding healthcare client into a very large health systems. We continue to see client revisit as the OCIO marketplace is very competitive. 56:18 These rebids provide near-term headwinds. The unfunded client backlog of gross sales at quarter-end was 695 million. For the year, we are focused on stabilizing our client base, distinguishing our OCIO solution, selling new OCIO and UK master trust relationships, and selling our enhanced ECIO proposition powered by SEI Novus. 56:45 Thank you very much and I'm happy to entertain any questions that you have.
Operator: 56:51 [Operator Instructions] Our first will come from Ryan Kenny, Morgan Stanley. Please go ahead.
Ryan Kenny: 57:00 Hi, good afternoon.
Paul Klauder : 57:02 Hi, Ryan.
Ryan Kenny: 57:04 I'm wondering if you could update us on how material the current interest rate outlook is for your business. At the end of last year, the ten year yield was at 1.5% and now it's quickly approaching three. So, just wondering how does that impact the funding status of your BD plans and how big of an impact do you think that translates to revenues?
Paul Klauder: 57:25 Yes. That relates to revenues. It doesn't really impact the revenues that much because we have a segregated fee for our OCIO relationships. Now with respect to funded status, we have seen a little bit of a tick up with regard to funded status. With that said, Ryan, most of the clients that are on a termination path or have made a decision to close their defined benefit plan, part or most of the portfolio is the fees with long duration fixed income. 57:53 So, as the interest rates go up, the liabilities come down as we know, but also the assets come down because the assets are there to [indiscernible] part of the portfolio. So, it hasn't really materially changed the funded status, which is why you have the LDI portfolio, which is why when rates go down, it was a production strategy. 58:16 So, really what comes into play is whether a company has the cash and the wherewithal to want to kind of close out that deficit between where the assets are, where the liabilities are. We still see most do not want to do that. They might curtail part of it. So, I don't think it's really changed the position that dramatically even though with interest rate rising.
Ryan Kenny: 58:40 Thanks. That's helpful.
Paul Klauder: 58:42 Thank you.
Operator: 58:44 Next, we'll go to Robert Lee with KBW. Please go ahead.
Robert Lee: 58:50 Great, thanks. Just real quick question Paul. I think I just missed what the net new client fundings were in the quarter and apologize having repeated, but I just missed it.
Paul Klauder: 59:00 Yeah. You're really making me look bad here, Robert, but the gross sales were 800 million, the losses were 4.8 billion, so the net was a negative 4 billion.
Robert Lee: 59:15 Okay. Thanks. And maybe just real quickly, maybe you touched on it, on the competitive environment, we talked about kind of the increased competition in the OCIO market and you're obviously trying to diversify away from that, but I know if you look at it today, any signs of just given market weakness volatility that's in any way changing the, maybe it's too early, but changing the competitive dynamic, some of the smaller players that fewer resource to compete just trying to get an updated sense of competitive environment?
Paul Klauder: 59:55 Sure. I mean, it's still a large number of competitors. Some are very large. We're safely in the Top 10 as far as OCIO assets under management. We would think there's going to be strain on the lower size ones, the ones that are less 25 billion, they may not have scale and leverage, especially as clients diversify and get more [indiscernible] term investments. 60:17 One of the beauties of the Novus transaction in addition to its unbelievable capability of powering our ECIO solution is we're using that technology as us as the OCIO firm and showcasing some of their advanced analytics to more sophisticated OCIO clients. That in its early days has already been a point of differentiation of showing a very advanced capability look through transparency, detailed reporting that we think is differentiated versus what other OCIO firms. 60:50 So the Novus transaction really, we think will benefit us two ways not only on the ECIO front, which I've messaged before, but also on these larger more competitive OCIO deals, which are very important to us.
Robert Lee: 61:05 Great. Thanks taking you my questions.
Paul Klauder: 61:06 No problem, Robert.
Operator: 61:10 And we have no further questions in queue.
Paul Klauder: 61:14 Great. I'd like to turn the call back over to Al West.
Al West: 61:19 So, ladies and gentlemen, we're excited about Ryan is going to do a great job. And for me, it’s [indiscernible]. Since going public in 1981, some 41 years ago, I have been involved on a quarterly analyst call. A total of 164 times. Enough is enough. 61:45 And my new role for me as Executive Chairman, I'll see you [indiscernible] and all your visit to SEI. I look forward to. And I want to thank you for attending our [164th] [ph] quarterly call, and have a good day. Thank you.
Operator: 62:13 Ladies and gentlemen, that does conclude today's conference. I'd like to thank you for your participation. You may now disconnect.